Operator: Good morning. My name is Audra, and I'll be your conference operator today. At this time, I would like to welcome everyone to the iHeartMedia Q3 2023 Earnings Call. Today’s conference is being recorded. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question-and-answer session. [Operator Instructions] At this time, I’d like to turn the conference over to Mike McGuinness, Head of Investor Relations. Please go ahead.
Mike McGuinness: Good morning, everyone, and thank you for taking the time to join us for our third quarter 2023 earnings call. Joining me for today's discussion are Bob Pittman, our Chairman and CEO; and Rich Bressler, our President, COO and CFO. At the conclusion of our prepared remarks, management will take your questions. In addition to a press release, we have an earnings presentation available on our website that you can use to follow along with our remarks. Please note that this call may include forward-looking statements regarding our financial performance and operating results. These statements are based on management's current expectations and actual results could differ from what is stated as a result of certain factors identified on today's call and in the Company's SEC filings. Additionally, during the call, we will refer to certain non-GAAP financial measures. Reconciliation between GAAP and non-GAAP financial measures are included in our earnings release, earnings presentation, and our SEC filings which are available in the Investor Relations section of our website. And now, I'll turn the call over to Bob.
Bob Pittman: Thanks, Mike, and good morning, everyone. We're pleased to report that our third quarter 2023 results were at the high end of our previously provided adjusted EBITDA and revenue guidance ranges. Throughout the year, we've seen gradual improvements in the advertising marketplace, which is reflected in the quarter-by-quarters sequential improvements in our advertising revenues and despite the recent global geopolitical events, we expect that to continue through Q4. Now, let me take you through some of the key financial results of the quarter. In the third quarter, we generated adjusted EBITDA of 204 million at the high end of the guidance range we provided of 195 million to 205 million. Our consolidated revenues for the quarter were down 3.6% compared to the prior year quarter, a little better than the guidance we provided of down mid single digits, and excluding the impact of political, our consolidated revenues were down 1%. In the third quarter, we generated 68 million of free cash flow. In addition to our reported free cash flow, we also generated 45 million of cash from the sale of radio broadcast towers, which we'll use to pay down in debt. Turning now to our individual operating segments. In the third quarter, the Digital Audio Group's revenues were 267 million, up 5.2% versus prior year. Adjusted EBITDA was 94 million up 19.6% versus prior year. And the Digital Audio Groups adjusted EBITDA margins were 35%, up from 31% in Q3 2022, and in the third quarter, the Digital Audio Group accounted for 28% of our consolidated revenues. The Digital Audio Group suggested EBITDA performance for this quarter reflects the strategic fixed cost investments we've made in the past few quarters. It also illustrates the strong flow through characteristics inherent in the business, and this year's strong emphasis on having the most profitable mix of digital revenue products. As our Q3 Digital Audio Group margins expanded 420 basis points year over year and were 260 basis points better than the second quarter. Turning to the revenue streams within the Digital Audio Group, our podcast revenues continued to perform well, growing 13% versus prior year, illustrating the fact that podcasting continues to be a strong growth engine for the Company. Additionally, our podcasting EBITDA margins continue to be accretive to our total company EBITDA margins. Podcasting is the best performing segment of the advertising marketplace, and we continue to have the largest podcast audience reach in the US. In September, iHeart was once again ranked the number one podcast publisher in the U.S. with more monthly downloads than the next two largest podcast publishers combined according to pod track. As a reminder, the three segments of the podcasting ecosystems are publishers, distributors, and sales reps. Publishers control the content and as a result enjoy the majority of the economics compared to the distributors who have virtually no economic benefit and the sales reps who operate on razor-thin gross margins and are often unprofitable. From the beginning, our strategy is focused on the publishing sector of the industry, and the financial results of our business are evidence of the success of that strategy. Our leadership position in podcasting is in part the result of the power of our broadcast radio assets, which we have used to build new lines of business for the Company starting out with the iHeartRadio app over 10 years ago, our Marquee live events business, and most recently, with podcasting. Our broadcast radio assets uniquely reach 90% of Americans every month, which for context is twice the consumer reach of the largest TV network and three times the consumer reach of the largest digital only streaming audio service, which is why broadcast radio is such a powerful tool for us in building new businesses. The intersection of AI and podcasting is also an area which we have been focusing on as an important driver of future growth. And I'll give you three examples of how we're taking advantage of this evolving technology. First, strategically, we can use AI to finally cost effectively translate our unparalleled English language podcast library into other languages, which creates the potential for global expansion and as another vector of earnings growth for the Company. Second, on a more tactical level, we're giving our sellers who make up the largest sales force in audio, AI enhanced tools to help them prospect and communicate with clients about podcasting along with radio and streaming products too. And third, we're utilizing AI to enhance our dynamic podcast ad insertion capabilities, helping us to serve the right message and the right voice for the targeted demo, time, and territory in ways not previously possible with older technologies. In addition to our industry leading podcast business, we also have the number one streaming digital radio service, which is 5x larger than our closest competitor. We have the largest social footprint of any audio service by a factor of seven, and we operate 3,000 national and local websites to reach almost 120 million people in the United States each month. All of which represent additional opportunities for our advertising partners to interact with our highly engaged consumer base and provide additional revenue growth for the Company. Turning now to the Multiplatform Group, which includes our broadcast radio networks and events business. In the third quarter, revenues were 626 million down 5.1% versus prior year and down 3.2% excluding the impact of political. Adjusted EBITDA was 162 million down 21.6% versus prior year. The Multiplatform Group's third quarter adjusted EBITDA margins were 25.9%, and Rich will take you through the puts and takes of the Multiplatform Group's margins this quarter. The Multiplatform Group does continue to be impacted by some of the advertising uncertainty you've been hearing about. However, we've seen gradual improvement from quarter-to-quarter throughout the year, and we remain confident that the Multiplatform Group will be an additional growth engine for the Company in the advertising marketplace recovery. We continue to see substantial upside in our broadcast radio assets in large part because of our unique and unparalleled reach and scale, including our participation in the migration to data and analytics infused planning, buying, and selling of media. Additionally, as ad-supported TV has suffered from their loss of audience, our broadcast radio assets with 90% monthly consumer reach in America is the only platform along with Google and Meta that can provide true mass market reach for advertisers. So what does that mean for the bottom line? Today, over 30% of consumer media consumption in a day is audio, yet it is only 9% of total advertising spend, and we expect that gap to close and to directly benefit our Multiplatform Group. As we talked about on previous calls, we expected Q4 to be the strongest quarter of the year for the Company, although it is still on track for that, it will be weaker than we originally anticipated due to some dampening of advertising demand, which coincided with the uncertainty caused by the recent geopolitical events. Having said that, in some years, we do see significant last minute advertising spend come in late November and December indeed it has in the last two years. However, since we can't predict it's not included in our guidance. As we look ahead, we remain confident that both the advertising marketplace and our company will be back in growth mode in 2024. And now, we'll turn it over to Rich.
Rich Bressler: Thanks Bob. As I take you through our results, as Bob mentioned, our third quarter 2023 results were at the high end of our previously provided adjusted EBITDA and revenue guidance ranges. Our Q3 2023 consolidated revenues were down 3.6% year-over-year, a little better than the guidance we provided of down mid-single digits. Excluding the impact of political, our consolidated revenues were down 1%. Our consolidated direct operating expenses increased 2.2% for the quarter. This increase was driven primarily by higher variable content costs, resulting from an increase in digital revenue, including third party digital costs and profit-sharing costs, as well as an adjustment from previous years relating to certain music licensing fees. This increase was partially offset by lower compensation expense, as a result of our ongoing cost savings initiatives. Our consolidated SG&A expenses decreased 1.6% for the quarter, primarily driven by lower sales commissions as well as the continued impact of our ongoing cost savings initiatives, partially offset by higher bad debt expense, an increase in trade and bottom marketing expenses, associated with our events business and higher variable compensation expense. As a reminder, as you make the comparison to last year in 2022, we paid minimal bonuses to our employees. We generated third quarter GAAP operating income of $69 million compared to an operating loss of $211 million in the prior year quarter. Our third quarter adjusted EBITDA was 204 million compared to 252 million in the prior year quarter, and at the high end of the guidance range, we provided of 195 million to 205 million. Turning out to the performance of our operating segments. And as a reminder, there are slides in the earnings presentation on our segment performances. In the third quarter, the Digital Audio Group’s revenues were $267 million of 5.2% year over year, and they comprised approximately 28% of our third quarter consolidated revenues. The Digital Audio Group’s adjusted EBITDA was $94 million, up 19.6% year over year, and our Q3 margins were 35% a year over year increase of 420 basis points. Within the Digital Audio Group are our podcasting revenues, which grew 12.5% year over year, and our non-podcasting digital revenues, which grew 1.1% year over year. As anticipated, in the third quarter, we continue to see improvements in the Digital Audio Group’s EBITDA flow through and EBITDA margins. In the long term, we continue to believe the Digital Audio Group should be a 35% adjusted EBITDA margin business on annualized basis. The Multiplatform Group's revenues were $626 million, down 5.1% year over year or down 3.2% excluding the impact of political. Adjusted EBITDA was $162 million down 21.6% year over year. The Multiplatform Group’s adjusted EBITDA margins were 25.9%. The Multiplatform Group's third quarter margins were impacted by a couple of items. First, we recognized higher than normal bad debt expense. Second, in the third quarter this year, our flagship iHeartRadio Music Festival for a year over year increase in trade and event revenues, which drove increased promotion expense and which have lower margins than our broadcast and networks revenues. And third, we have one more major event this quarter than we had in the third quarter of 2022, which drove incremental expense. The Audio & Media Services Group's revenues were $62 million down approximately 20% year over year. An adjusted EBITDA was $17 million, down $30 million in the prior year, excluding the impact of political in the prior year quarter. The Audio & Media Services Group's revenues were down 7.4%. At quarter end, we had approximately $5 billion of net debt outstanding and our total liquidity was $625 million, which includes a cash balance of $213 million. Our quarter ending net debt to adjusted EBITDA ratio was 6.2 times. We remain committed to our long-term goal of a net debt to adjusted EBITDA ratio of approximately 4x. As highlighted on past calls, we have no material maintenance covenants and no debt maturities until mid 2026. We will continue to be opportunistic in responding to debt market developments. In Q3, we repurchase $89 million of the principal balance of our 8 and 3As, Senior Unsecured Notes at a meaningful discount to their par value generating both earnings and free cash flow accretion. This brings our total repurchase of these notes to $519 million, reducing the outstanding amount from 1.45 billion to approximately 930 million and results in aggregate annualized interest savings of approximately $43 million. In the third quarter, we generated $68 million of free cash flow and we also generated an additional $45 million of cash from the sale of our remaining radio broadcast towers, which we will use to pay down debt. Turning now to our outlook for Q4, as Bob mentioned before, and as some other companies have discussed on their earnings calls, we are experiencing some additional uncertainty due to recent geopolitical events and that is captured in our Q4 revenue outlook. So with that in mind, we expect our Q4 2023 revenues to be down high single digits. As a reminder, Q4 of last year was the biggest quarter in the Company's history and was the largest political quarter of the year with $66 million of political revenue. Excluding the impact of political, we expect our Q4 revenues to be on low single digits. Revenue for the month of October was down approximately 8%. Turning to the individual segments, we expect the Multiplatform Group's revenue to be down high single digits. Excluding the impact of political, we expect Multiplatform Group revenues to be down mid-single digits. We expect the Digital Audio Group's revenues to be up high single digits, and we expect the Audio & Media Services Group's revenues to be down approximately 30% or down low single digits, excluding the impact of political. As a reminder, the Audio & Media Services Group includes catch TV, which experiences a significant swing between its performance in political and non-political years. Turning to adjusted EBITDA for Q4 2023, we expect to generate consolidated adjusted EBITDA in the range of $205 million to $215 million. And as Bob mentioned, any potential last minute advertising spend in late November and December is not included in this guidance. From an expense perspective, in Q4, we expect to incur a bonus expense differential compared to prior year, and we also expect to recognize additional marketing expenses associated with the expansion of our events business in the quarter, including our Jingle Ball holiday TV special moving to ABC, and the streaming of our iHeartRadio Music Festival moving to Hulu. I want to comment on the following items affecting free cash flow. We continue to expect our cash taxes to be approximately $15 million in 2023. Our estimate of full year 2023 capital expenditures is expected to be approximately a $100 million. As a reminder, this is substantially below our 2022 capital expenditures of $161 million. Cash restructuring expenses remain down year-over-year. We continue to be impacted by the current interest rate environment as approximately 40% of our debt is floating, but we are committed to opportunistically improving our capital structure and reducing our interest expense as the market allows. We generate solid free cash flow in the third quarter and we expect that performance to improve in the fourth quarter, which is always our largest free cash flow generating quarter of the year. And as we look forward to 2024, we expect to generate significantly better free cash flow driven in part by an improving macro environment as well as the impact of political dollars which are collected upfront. In addition to our reported free cash flows, we also generated $45 million of cash from the sale of radio broadcast towers, which we'll use to pay down debt. As Bob mentioned, we expect 2024 to be back in growth mode as a reminder the 2024 is a political year, and during the last presidential political year in 2020, we generated 167 million of political revenues. And finally, on behalf of the entire Senior Management Team, Bob and I want to thank our team members who work to deliver for their communities and for iHeart every day. Now, we'll turn it over to the operator to take your questions. Thank you.
Operator: [Operator Instructions] We'll take our first question from Steven Cahall at Wells Fargo.
Steven Cahall: So first, just on what you're seeing in the ad market. So, Bob, you said you expect, you're confident, I think in a return to growth in 2024. I'm guessing that that comment is not just political, but there's some ex-political competence in there too. And Rich, you said you expect significantly better free cash flow next year driven in part by an improving macro. We've seen a few media companies now kind of back-off trying to call for an improving macro unless it's something they're really seeing in their trends. So, I was hoping you could just give us a little more on your thought process here. Are you starting to see some green shoots or inflections? It sounds like some of the geopolitical stuff maybe could be a little bit of a near term headwind. So just help us think about what's driving that confidence in the improvement in 2024. And then Rich, I don't think you all have any covenants. And I know you're retiring debt at a hefty discount. You do have a pretty big maturity wall in 2026. Quite a few broadcast companies actually have a lot of debt coming due in 2026. So, we're curious when you start those conversations what you think the tone of those will be? And then finally, just the housekeeping one, anything to read into the bad debt expense picking up?
Bob Pittman: Great. Well, let me start with the ad marketplace. I think there are two ways to look at it. One is subjective, one's objective. Let me start with the objective. I think in a recovery you generally see digital recover first. I think if you look at not only our digital, but look at the marketplace. You've seen the big guys go from negative to positive and pretty steady growth. So, I would sort of say digital is sort of already in recovered mode or recovering mode. I think behind that historically you see sort of TV recovers next and radio next. I think with the TV and you asked the question about what others are saying. I think with the rather dramatic decline in TV audience and sort of the accompanying advertising impact there's an opportunity perhaps for radio to move ahead of TV in terms of that queue. And so from an objective standpoint, we're seeing the pieces falling in place. So that gives us confidence. On the subjective part, we are talking to advertisers and looking at sort of their plans for next year and having those discussions. And the general sense we get is from most of them is that they're looking at ‘24 being back into growth mode for them and spending to support that. So, I think we are again, the, the beneficiary of that. So, both the objective and the subjective lined up for us in terms of giving us confidence for ‘24.
Rich Bressler: So maybe just a couple things. The only thing I might add on to what Bob said, I think is, further proof point. You saw we were up about 5% in Q3 on digital revenue and just married to Bob's comment about that being one of the first ones in terms of coming back and kind of leading, the confidential revenue. If you look at our guidance for Q4 for digital, it's high single digits on digital revenue. So again, I think that's not just the words, but data. And also, if you look at what we did, we did 13% growth in podcasting in approximately 13% growth in podcasting Q3. We didn't give exact guidance for Q4, but clearly, we think we're going to be above the growth rate. We had in Q3, we'll have higher growth rate in Q4. So just to put that in context in terms of your questions, maybe I'll take them a reverse order for a second. In terms of bad debt expense, excuse me, bad debt expense, nothing unusual in bad debts, we just it is limited to just a couple advertisers without going into names or categories, but no there's nothing at all to worry about on that front. And in terms of the debt, you confirmed that we've got no significant covenants, and I think we've done a nice job. We're down to approximately 900, a little over 900 on the 8 and 3As. And not going to say anything that I haven't said publicly, already just that we continue to monitor the credit markets. We obviously understand when our maturities are out there. I think from our standpoint, we just need to continue to execute on the operating plan. We need to continue to generate free cash flow. We need to continue to look for potential opportunities to monetize things like we did with the towers this quarter, which we're going to use to pay down debt also as part of that. And I can't comment about other companies. But again, if you look at the operating performance of this company, we're just -- we feel confident about the refinancing and doing your ways that continues to maximize our capital structure.
Operator: We will move next to Jim Goss at Barrington Research.
Jim Goss: A couple of questions. One, looking at podcasting, it’s still achieving growth, but I wonder if you could position it in its business cycle. Maybe discuss if you think the trajectory is slowing a little, that it might be maturing somewhat, or is it -- is this just a function of like current type events that might be posing a bit of a drag? The very strong growth you obviously get in the earlier stages of the development?
Bob Pittman: Yes, we don't think we're anywhere near maturity on podcasting. And I think if you look at the audience growth and podcasting, it's not an audience growth in terms of more people coming into podcasting listening, but they're spending more time with podcasting as well. If you look at stats about how many downloads we have or how many shows get over a million downloads a month that continues to grow. It's sort of every metric you look at is a very positive metric. And what's also encouraging is that it's a relatively young audience for podcasting. So, you're not talking about the issues of talk radio, which tend to be older. This is the young audience version of talk. What's also great about podcasting for us in terms of our business is that about two thirds of the use of podcasting is at home, whereas in radio, about two thirds of our usage is out of home. So it's a nice marriage of the two. And there's some people think about podcasting, if you think Netflix is sort of TV on demand, podcasting, sort of radio on demand. And we think it continues to move and they're now more people using podcasting than use the biggest streaming music services and continues to grow. So we're very optimistic about it, and seen -- and the only thing in the marketplace is you've seen some people pull back on basically uneconomic deals that they were doing. I think that's a positive for the marketplace because it means the economics match real economics. And I think that helps us in getting the deals done. We need to continue to lead as the number one podcast publisher.
Rich Bressler: Hey Jim, the only thing I might just build upon what Bob said and just go marry it back to Steve's question, just a couple minutes ago. Remember, we're up approximately 13%, a little less than that in revenue in Q3 and podcasting, and I think I just mentioned that we plan to be or forecasting to be higher than that in Q4 in terms of the percentage. So, remember we're talking about an increase in percentage and we're also talking about, we're getting to bigger numbers. So, I'm not quite sure that there's any factual signs, at least from an iHeart standpoint that we see anything podcasting slowing down whatsoever in terms of the growth. The second thing I would say is that if you look at all the people that do projections in terms of revenue pies in North American advertising, if you go out three, four years and everybody's got kind of little different years and slightly different numbers, and you can all go read them yourself, whether it's e-market or the other people out there, but everybody's got podcasting, like going to four or $5 billion pie of advertising dollars over whatever period of time, some of three, some of four. Even if those are not exactly right, just look at them directionally. And finally, I would just say that just remember, the podcasting industry in terms of big advertisers, well, consumers listening habits, big advertisers coming to podcasting, which is so important because that's where big dollars come from, big advertisers. That is really only a couple years quite frankly in the making. So when Bob talks about the early days and we see no signs of anything slowing down. Look to listening what's out there with the consumers, I think it's something like 85% or some number close to that of people that start a podcast listen to all the way through. So, I don't think any of us have been running media companies for a long period of time have seen engagement at that level. And that's critical because that engagement is what's driving this dramatic growth in ad revenue.
Jim Goss: Couple of other things. Political, I know you talk about reach, but video seems to trump reach in terms of attracting political ads, so local broadcast always gets the lion share of that business. I wonder, you feel there's any risk to digital or other forms taking any of the political momentum you've tended to have because it's not the biggest category, but it's an important category and very profitable category for you?
Bob Pittman: Yes, no to the contrary. I think video has always been there and anybody wants to see their faces always bought video, I think. So now the only variable now is reach at a certain point they got to say, if nobody's seeing it, they got to worry about getting their message out. And I think finally people are really beginning to appreciate, I think with the success of streaming audio and the success of podcasting, the impact of the conversation. And indeed, I think probably most products, and by the way, most candidates probably, it's not seeing their face. It's hearing the conversation about the candidate and nothing does that better than broadcast radio. So again, I think if you look at the history of sort of growth we've had in political advertising in the 2020 cycle and 2022 cycle, I think, we're encouraged that we're in good shape on political.
Rich Bressler: Jim, and just one thing you mentioned, I think when you asked you a question, you talked about video and digital and just and Bob, just to hone back on that. From a broadcast standpoint, remember going into this election cycle as well as we've done past election cycles, our capabilities from a data standpoint our ad tech capabilities that we've talked about with our ability just at a very high level to plan can -- to plan out advertising campaigns, to monitor advertising campaigns and report out on them, that goes obviously not just from a digital standpoint, but we now have capabilities on broadcast that make our broadcast look like digital. Again, not one to one, which as we all know, the world has gone away from, but one, two, and four many. And we've got capabilities going into this political season to get our dollars that we didn't have in the last election cycle. So, I wouldn't -- that's not a small detail to overlook.
Jim Goss: Okay. Thank you. One last one, I know, you can't exactly create a concert movie like Taylor Swift Eras tour, but you do have things that you put on ABC and Hulu as you mentioned, the Jingle Ball. But are there events you're creating that could be monetized with sort of streaming relationships where it might be something that's accessible on an ongoing basis with Netflix or something of that nature that could add to the monetization of those types of events?
Bob Pittman: The answer is yes, and indeed this year we moved the iHeartRadio Music Festival to Hulu. And I think that's a perfect example of the success of that. And again, we do a lot of other major temp pole events and, we are wide open to that and really looking at where's the consumer and how do we reach them? And we always feel to get the audience monetization follows.
Operator: We'll move to our next question from Dan Day at B. Riley Securities.
Dan Day: So just wanted to push on the EBITDA guidance a little bit more, I think, the presumption coming into this share was that the cost savings efforts, the real estate reductions you guys have talked about would at least stabilize the margin profile, even if we saw continued softness in the advertising market. It seems like you're implying a pretty big step down in margins here, 4Q kind of low 20s versus higher 20s in almost every 4Q you've reported. Just one of the things I hear from investors is that it seems like there's been a number of quarters where these items have mostly offset any fixed cost savings. So just any thoughts there when those might start to become more evident and any pushback you might give to that?
Rich Bressler: Well, look, I think they are in all honesty becoming evident. And one thing I want to just highlight, and then I'll spend 30 seconds on a little more detail is I wouldn't overlook Bob's comment that he said, when we were discussing earnings about -- this is -- it's obviously there's a lot of uncertainty out there environment. I think people have heard this one very earnings call with respect to advertising-based companies to different degrees. The ability to talk about guidance for Q4, whether you go into 2024, is challenging. And I think Bob highlighted this is based on what we know today, but if you look at just historical what's happened. We've seen periods of time where we have had a lot of business placed at the end of Q3 -- I am sorry, at the end of November and December. When you look at this year, kind of in particular and just kind of contrast it just to last year, remember, we're copying against last year. If you look at margins both in the MPG level and we highlighted in this in our discussion at the audio media services level a dramatic difference in what we had in political revenue year over year. I think last year we had $66 million in political revenue. At MPG, we had 20 about mid twenties -- I'm sorry, about 60 million. It should be at MPG in mid 20s at audio media services. And that comes in the extremely high margin, quite frankly, that political of it is our highest margin business. So, that's really -- quite frankly, the biggest piece. And then the balance going the other way is obviously the increase in dag. We do have some nice cost savings in two in Q4. And as a reminder, we announced a $75 million program at the beginning of this year that we started layering in during Q2. And we've got a nice benefit in Q4, and we're lapping year over year, but I think, we continue to look at costs just a way of life. And I think also as we highlighted two other things, one is, we have bonuses back last year we didn't pay bonuses to any significant amount across our employee bases. And finally, the trade and marketing expenses that we touched upon with both the Hulu deals now streaming the iHeart Music Festival and our deal with ABC. And so those are not comparable year over year. And those hit, even though the music festivals in Q3, those hitting Q4. So that's really the items that are affecting comparability.
Dan Day: One more from me. Higher level question on podcasting. It feels like we've hit a tipping point, where within podcasts, like a majority of them, the most popular ones seem to have some sort of video component to them typically like hosted on YouTube or some other platform in addition to that, like, more traditional audio only format. So, I'm just wondering, how you've played in that whether that's impacting discussions with talent and your thoughts on this sort of hybrid audio video approach that podcasting seems to be moving towards.
Bob Pittman: I actually disagree. I don't think it is moving to that. I think you have some shows that are hybrids, but I don't think that is an overall trend at all in the podcasting business. As a matter of fact, I think most people have been surprised by how little interest there is in seeing what they're hearing. I think people who've come out of the video business think everybody wants to see it, and the reality is, no -- they don't. They're cooking, they're driving, they're doing something else, and it doesn't fit in well there. And I think, look, everybody who's in the video business would love to capture podcasting that are all trying desperately to do it. And we have some shows that are on both. And if it's the best way to do it, we certainly can do it. The video today is not much more expense to add to it. We're just looking for the best way to make money.
Rich Bressler: And one last thing, I may just say that, look, if you look at what our revenue growth is both through the nine months and then what I just talked about Q4 also is reminded, as we've said, podcasting is accretive to the overall companies, if it a margin out there. So you look at what Bob just articulated, that is our overall part of our podcasting strategy. I think it's hard to argue that we've not on the right strategy, that we've enjoyed pretty good success in the podcasting both on revenue and also most importantly driving it to the bottom line for the benefit of shareholders and profitability. So with that, I'd like to thank everybody for listening to the iHeart story. Bob, myself and the rest of the management team we are available for questions and follow up and appreciate everybody's time and support. Thank you.
Operator: And this concludes today's conference call. Thank you for your participation. You may now disconnect.